Operator: Good morning. My name is Keenan and I will be your conference operator today. At this time, I would like to welcome everyone to the American Financial Group 2013 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. Keith Jensen, you may begin your conference.
Keith Jensen: Certain statements made during this call are not historical facts and may be considered forward-looking statements and are based on estimates, assumptions and projection which management believes are reasonable, but by their nature subject to risks and uncertainties. The factors which could cause actual results and/or financial conditions to differ materially from those suggested by such forward-looking statements include, but are not limited to those discussed or identified from time to time in AFG's filings with the Securities and Exchange Commission, including its Annual Report on Form 10-K, quarterly reports on Form 10-Q. We do not promise to update such forward-looking statements to reflect actual results or changes in assumptions or other factors which could affect these statements. Now I'm pleased to turn the call over to Carl Lindner III to discuss our results.
Carl Lindner III: As we begin this morning, Craig and I would like to extend the official welcome to Jeff Consolino. Jeff joined AFG in February and today marks his first earnings conference call as AFG’s Chief Financial Officer. Jeff we’re delighted that you joined AFG’s executive leadership team and we’re looking forward to your remarks later in the call. I’m assuming there are participants who have reviewed our earnings release and industrial supplement posted on our website. You’ll notice that there are quarterly investor supplements have been combined into one document and expanded to include additional schedules and disclosures that we believe will be useful to you in analyzing AFG’s results. We’ve released our 2013 first quarter results yesterday afternoon, we’re pleased to report an adjusted book value per share of $43.94 as of march 31st 2013. This represents growth of 3% during the quarter. Net earnings were $1.32 per diluted share and include $0.40 per share realized gains. Annualized return on equity was 12.4% for the 2013 first quarter compared to 11.8% for the first quarter of 2012. Our core net operating earnings of $0.92 per share reflected 27% increase in pretax core operating earnings in our Annuity segment and solid underwriting results in our Property and Casualty businesses. Net written premiums in our Property and Casualty operations grew 16% overall when compared to 2012 first quarter with all three of our Specialty, Property and Casualty Groups reporting double digit premium growth during the quarter. Based on AFG’s results in the first three months of the year we’ve increased our guidance for Property and Casualty net written premiums and core pretax operating earnings in our Annuity and Run-off Segments. The details of which Craig and I will share later in the call. Our core operating earnings guidance for AFG remains unchanged from our previous estimated range of $3.60 to $4.00 per share primarily as a result of the slower pace of anticipated share repurchase activity. Catastrophe losses were $10 million in the first quarter of 2013 primarily the result of mild storms in the Southeastern United States. Gross and net written premiums increased by approximately 12% and 16% respectively compared to the 2012 first quarter, although premiums were higher in all our Specialty, Property and Casualty sub-segments. Our Specialty Casualty Group was the driver of this growth. Catastrophe losses were $10 million in the first quarter of 2013 primarily the result of mild storms in the Southeastern United States. Gross and net written premiums increased by approximately 12% and 16% respectively compared to the 2012 first quarter, although premiums were higher in all our Specialty, Property and Casualty sub-segments. Our Specialty Casualty Group was the driver of this growth. Catastrophe losses were $10 million in the first quarter of 2013 primarily the result of mild storms in the Southeastern United States. Gross and net written premiums increased by approximately 12% and 16% respectively compared to the 2012 first quarter, although premiums were higher in all our Specialty, Property and Casualty sub-segments. Our Specialty Casualty Group was the driver of this growth. Loss cost trends continue to be stable and appear to be benign across our portfolio of Property and Casualty businesses. On slide 5 you’ll see a few highlights from each of our Specialty, property and Casualty Business Groups. Property and Transportation Group are larger sub-segment reported lower profitability in the 2013 first quarter primarily the result of lower earnings in our agricultural businesses and higher catastrophe losses. Gross and net written premiums were up 7% and 10% during the first quarter of 2013 primarily due to higher premiums in our Transportation businesses. Net written premiums also increased as a result of lower sessions (inaudible) business. Overall renewal rates in this group increased 5% on average for the quarter following a 4% increase achieved in the fourth quarter of 2012. Specialty and Casualty Group reported higher underlying profits during the first quarter reflecting a lower accident year loss ratio as well as increased favorable reserve development in our executive liability and excess liability businesses. Gross and net written premiums grew by double-digit percentages in the first quarter of 2013 and nearly all businesses in this group reported growth and workers compensation excess and surplus lines businesses were primary drivers for the higher premiums. Increased exposures from higher payroll on existing accounts price increases and overall business growth that contributed to increases in our workers comp businesses. New business opportunities and general market hardening have generated increased premiums and several other excess surplus lines businesses. Pricing in this group was up approximately 6% on average for the quarter following a similar increase in the fourth quarter of 2012. Specialty Financial Group reported slightly lower underwriting profits in the first quarter of 2013 and we’re pleased with the results in the sub-segment of our Property and Casualty Business which produced the combined ratio of 88.5 for quarter. Businesses in this group have performed well achieving at overall combined ratio in the mid 70s to 80s over the past few years. Gross and net written premiums increased by 11% and 22% respectively. Primarily this sort of growth and more of these protection insurance offered by our financial institutions business. Pricing in this group was 1% for the first quarter of 2013. Now please turn to slide 6 for an overview of the 2013 outlook for the Specialty, Property and Casualty operations. Our objective is to achieve an increase of 46% in the Specialty Groups overall average renewal rates this year. We continue to expect to achieve a combined ratio between 91 and 95. We now estimate network premiums in our Spatiality, Property and Casualty operations to be 8% to 12% higher in 2012 levels as compared to our previous guidance of 6%. Our 2013 expectations for the Property and Transportation Group remain unchanged. We expect this Group to produce a combined ratio in the 92% to 96% range. Guidance assume normalized crop earnings for the year. We estimate this Group’s net written premiums to be up 3% to 7% reflecting expectations that crop premiums will be down slightly and also considers opportunities we see for growth in our Transportation Businesses. We expect the Specialty and Casualty Group to produce a combined ratio under 91% to 95% range. We now anticipate net written premiums will be up 13% to 17% based on the strong growth in the first quarter and indications of market hardening and continued growth in our workers comp in excess and surplus lines businesses and this is an increase from 10% to 14% increase in our previous guidance. We expect the Specialty Financial Group combined ratio to be between 88% to 92% and we project net written premiums to be up 11% to 15% this group up from our previous guidance of 0% to 4% primarily the result of growth in our Financial Institutions Business. Additionally, we expect 2013 Property and Casualty investment income to be about 5% lower than in 2012. Now, I’d turn the discussion over to Craig to review the results in our Annuity Segment and investment performance.
Craig Lindner: Thank you Carl. The Annuity Segment reported a record quarter pretax our operating and earnings ended 2013 first quarter that were 27% higher than the comparable 2012 period which we’ll see on slide 7. The increase in pretax core earnings were primarily result of growth and AFGs and annuity reserves had exceptionally strong investment results. Annuity premiums in the first quarter of 2013 were up more than 11% from the last quarter of 2012, but 22% lower than the first quarter of 2012. The decrease from the comparable prior year period was expected and continuous to reflect actions taken during 2012 to reduce crediting rates and agent commissions and response to the exceptionally low interest rate environment that began in the second quarter of 2012. The focus on our annuity business is to maintain the appropriate spreads on our basic invested assets. On slide 8 you’ll find a comparison of average fix annuity investments, average fixed annuity reserves than net interest spread earned and the net spread earned over the last year fixed annuity investments had amortized cost have grown by 14% and fixed annuity reserves have grown by 13%. Our net interest spread earned which represents the difference between net investment income earned and interest credited which 299 basis points during the first three months of 2013, an improvement of 11 basis points from the comparable prior year period. The net spread earned represents our net interest spread plus other annuity benefit expenses acquisition expenses and other operating expenses, for the first quarter of 2013 the net spread earned was 158 basis points an improvement of 15 basis points from the first quarter of 2012. Additional information about the components of these spreads with AFGs fixed annuity operations can be found at AFGs quarterly investors’ supplement posted on our website. Please turn to slide 9 for overview of 2013 outlook for Annuity segments as well as the Run-Off Long-Term Care and Life Segment. Based on recent conditions and trends we expect 2013 full year core Pretax operating earnings and our Annuity and Run-Off Long-Term Care and Life Segments to 8% to 12% higher than the $252 million reported for the full year of 2012. We do not expect our Run-Off Long-Term Care and Life Segment to contribute material positive or negative results in 2013. We continue to expect the premiums will be flat to down slightly for the full year as compared to last year and we continue to maintain strict facing discipline and the pricing of our products. Please turn to slide 10 and 11 for few highlights regarding our investment portfolio. AFG recorded first quarter 2013 net realized gains of $36 million after tax and after deferred cost compared to $28 million in the comparable prior year period. Unrealized gains on fixed maturities were $719 after-tax, after-DAC at March 31, 2013 virtually unchanged since year end 2012. Our portfolio continues to be high quality with 86% of fixed maturity portfolio rated investment grade and 97% with NAIC designation of 1 or 2, the two highest categories. We provide additional detailed information of the various segments of our investment portfolio and the quarterly investor supplements on our website. I will now turn the discussion over to Jeff to wrap up our comments with an overview of our 2013 consolidated first quarter results.
Jeff Consolino: Thank you Craig. As Carl noted, this is my first earnings conference call as AFGs Chief Financial Officer. This is exciting for me. I’m going to try to match the high performance standards set by my predecessor Keith Jen. Slide 12 showed the highlights of consolidated income statement for the three months’ period ended March 31, 2013 and 2012. This will bridge the segment result (inaudible) to our consolidated results. AFG reported 7% increase in core net operating earnings per diluted share in Q1 of 2013 as compared to 86% in Q1 2012. This is attributable to a more average number of diluted shares. 91.0 million in the first quarter of 2013 as compared to 99.4 million in a year ago first quarter. Aggregate core net operating earnings were year over year at 84 million dollars for the three month period ended March 31 2013 as compared to 85 million dollar in the prior year quarter. For our P&C segment operating earning were $96 million in the first quarter of 2013 compared to $100 million n the capital 2012. Specialty P&C underwriting profits of $48 million were unchanged from the prior year period. P&C net investment income declined by $4 million year over year inlaying with our expectation as re-investment rates continue to decline. As Craig described, a newly segment earnings were $16 million or 27% to a record $76 million. Earnings contributed by other operating segments decline year over year by $8 million. As a remainder, the first quarter of 2012 included a $6 million in earnings from a Medicare supplement and critical illness business were sold at 10th August 2012. As Craig noted earlier, we did not expect Run-off Long-Term Care and Life Segment to contribute materially to 2013 results. (Inaudible) is unchanged year-over-year at $17 million other expense increased by $5 million in the 2013 first quarter reflecting higher holder company expenses related to an adjustment for certain healthy compensation plans. Finally, Annualized core operating return equity was 8.6% for the 2013 first quarter compared to 8.9% in the first quarter of 2012. This is now showed on the slide. Turning the slide 13 AFGs adjusted book value per share increased 3% in the quarter to $43.94 including the regular 19.5% dividend under the quarter. AFGs total value creation defined a growth and adjusted book value for dividend for 4%. Tangible book value on a adjusted basis on March 31 2013 was $41.52. Our capital adequacy, financial condition and liquidity remains strong. AFG maintain sufficient capital in its insurance businesses and meet all commitments of the rating agencies. We are pleased to achieve the rating upgrade (inaudible) on April 23. Our Asset capital was $620 million at March 31, 2013. This included cash in the parent company of $225 million. During the first quarter of 2013 AFG will purchase 61,586 shares of common stock at an average price of $43.71 per share. AFG has been actively re-purchasing shares and returning capital to shareholders dividend. Returning $1.5 billion to shareholders over the preceding five calendar years. We are purchasing 31% of share outstanding at the outset of that market period. AFG also looks to invest in excess capital where we see potential for healthy profitable organic growth. All opportunity to stand our specialty mix business through acquisitions and startups and meet our target and return thresholds. The growth in our annuity and P&C Specialty Casualty Business as well as the launch of our professional liability division within our PNP operations in April serve as examples. On slide 14 you’ll find a recap of 2013 guidance for AFG’s core net operating earnings as well as guidance discussed earlier in the call for key financial measures in the Specialty, Property and Casualty Operations in Annuity Segment, these 2013 expected results exclude non-core items such as realized gains and losses as well as other significant items that may not be indicative of ongoing operations. Now we'd like to open the lines for any questions.
Operator: (Operator Instructions). Your first question comes from Amit Kumar, Macquarie Capital.
Amit Kumar – Macquarie Capital: Thanks and good morning and thanks for new disclosure it’s very helpful. My first question relates to the discussion on capital management we’ve meaningful excess capital position in the past you’ve mentioned that you’d like to keep 100 to 200 million of it (inaudible) am curious with minimal buyback this quarter and with the stock is trading at do you has the thought process changed as to how you view acquisitions going forward and may be just talk about that process and also revisit what do you think, I think Jeff mentioned returns what you think are appropriate returns for you to be interested in an acquisition. Thanks.
Carl Lindner III: Amit well this Carl. On the acquisition side you know us well we’re always out there you know starting businesses up looking for many small to medium sized try the acquisitions and you know if there’s an occasional larger opportunity you know we’re always try to reserve horse power to do something like that you know we just storing you know our professional liability division let’s talk about storing net business liability type of business and we don’t – we’re not getting ready to announce any major transaction I think right the second but so really we’ve not really changed our approach to appetite from you know and how you looked at the world you know the plans.
Amit Kumar - Macquarie Capital: In it bit has the pipeline changed?
Carl Lindner III: I don’t think pipe -- we’re always looking at things, I think, you know, I would say the pipelines changed, I think right now, I do view, you know, now I’m going forward I do think, you know, we’re going to get an opportunity to, you know, look at more things and particularly as we’re, you know, looking to expand our business internationally, so. I think in this environment, I think there will be more opportunities.
Amit Kumar - Macquarie Capital: In the past you’ve talked about not really increasing a PML and you just mention internationally, I mean are we talking about international sort of casualty type of operations or maybe just expand on that comment a bit.
Carl Lindner III: I think there would be similar opportunities to the businesses that we’re -- we’re already in though if there is, you know, interesting opportunities so, we’re working on it.
Amit Kumar - Macquarie Capital: And is it mostly on the primary side or would you even go on to the sort of the casualty reassurance side?
Carl Lindner III: I think, you know, be focused on where we’re focused today and that would be more, you know, on the primary side.
Amit Kumar - Macquarie Capital: Got it, that’s really helpful. The second question, I have is on the expanded, I guess, the annuity disclosure. We’ve talked about, I guess, the return on assets and you can continue that from slide 8. How would you -- what would be the -- the clean, I guess ROE of this business be?
Craig Lindner: This is correct, what I would tell you is in the first quarter the ROE was approximately 11%. It did include semi items that are potentially non recurring (inaudible) to the return so. If we adjust out certain things that benefited us, you know, things like a little bit of investment income from prepayments the very strong performance of the stock market exceeded our custom that our projection of 2% per quarter that added 4 million dollars to the earnings of the annuity business in the first quarter. If you adjust for a few things like that, you know, we didn’t budget for, it brings that 11% number down to a little over 10%.
Amit Kumar - Macquarie Capital: And when you said look forward, how does that dynamic of I guess the older lower spread business which is running off and is being replaced by higher spread. I mean how does that impact that number going forward?
Craig Lindner: That -- we think that the impact is a positive one certainly we’re writing new business that were terms that are well above the 10% level. What I would tell you is just low interest rate environment, the old higher GMR business isn’t running off nearly as quickly as we would have expected.
Amit Kumar - Macquarie Capital: Okay.
Craig Lindner: And we still have business on the books that was written in the 70s and 80s which we expected to be -- most of it to be long gone and it is sticking around.
Amit Kumar - Macquarie Capital: Got it. That’s helpful. The final question and then I’ll stop here is you said it’s too early for crop and you’re in discussing the core 52.5% quota share. I guess separately when -- then you look at the mix of business the corn is half or your book approximately based on the late planting or I guess farmers switching to soybean. How do -- how can your crop books sort of changed? Does it change materially if the switch happens or it’s the change only on the margin if farmers do switch to another crop?
Carl Lindner III: I don’t think there’d be major changes, you know, that’s been added, it’s again our prospect to this is right now there’s things that make you most both optimistic and things that concern you. You know, the -- on the one hand the internal Midwest have received much needed precipitation over the last four to six weeks which has mitigated much of the draught concerns particularly in the eastern Corn Belt. We know have adequate top soil moisture to get the crops off to good start, you know, however as you know the air and soil temperatures that -- that remained unreasonably cool which is -- has to wait planting. So planting progress is behind last year’s pace and a week or two behind the five year average. That said, you know, I think if corn is planted by, you know, mid to late May, you know, I think that things might be just fine. Soybean was, you know -- mid to late June, you know, things are okay too. . So it’s really kind of early. . I know -- you know, over the next three to four weeks, you know, I think everybody will get a better feel of things as far as the draught, you know, draught and the magnitude of the 2012 draught has some lingering effect on 2013 growing additions. . However, when you look at historical data that would suggest that there really is a low correlation between prior year draught and poor yields the following year. . The entire Corn Belt has seen significant rainfall over the past six weeks which is recharged soil moisture and much of the corn and soybean growing regions and this year’s crop yields will be effected more by the amount of rainfall received in July and August then it will be I think from the lingering effects of last year’s draught so. . Again it’s way too early to try to put masticate that much.
Amit Kumar - Macquarie Capital: Got it. . Okay, I’ll stop here, thanks -- thanks for all the answers.
Operator: The next question comes from Ryan Byrnes, Langen McAlenney.
Ryan Byrnes – Langen McAlenney: Hi, good morning everybody. Let me quickly going back to the capital management discussion, I just wanted to get your thought process maybe on the evaluation, you know, have a factor as well in I guess a little bit slow down in the first quarter. . Obviously, I have a training at a premium to book ex-AOCI is that -- is that a way that you guys look at it as well?
Craig Lindner: It is. . You know, as we’ve said in the past we’re going to be opportunistic in every purchase of shares yet, you know, prices around book value or below as you know, we have repurchased it a very large percent of our shares that are outstanding and that doesn’t mean that we’re not going to repurchase shares at current prices we currently have a repurchase program in place. . It just means that we’re not going to aggressive as we would be at lower prices. . You know, we understand that return that’s available to us from share we purchases and we also see attractive opportunities as Carl talk to investment capital on our existing businesses. . And we have a responsibilities of management team to deploy that capital in areas that provide the highest return and will continue evaluating that.
Ryan Byrnes – Langen McAlenney: Okay. . And then mixing up here a little bit to talk about -- you showed some strong growth in the PC business and you guys noted that some of it was in the -- the ENS market. . And obviously there’s some headlines on that potential new very large player in this base but I just wanted to see what your thoughts are I guess on the books you’re entering the space and I guess -- is there any overlap in the lines of business that you guys do, just want to see what kind of impact do you guys expected in the market.
Craig Lindner: You know, we’re used to competitors kind of coming and going weren’t sure what their resource is quarterly, you know, was in a position to have more meaningful impact on the market. . That said, generative business, you know, when you look at the business that we’re targeting in that it’s more to small and medium size occasionally -- occasional, you know, larger opportunities in that. . I’m not sure we overlap quite as much as, you know, where if think what book store is going to be targeting is what AIG and, you know, some of the other players do, so. . Sure, they’re -- they’re very capable, it will have an impact. I think there are others that they’ll overlap more with, you know, that will have a bigger impact than with us.
Ryan Byrnes – Langen McAlenney: Okay, great. . Thanks for the answers, guys.
Operator: (Operator Instructions) We have a follow up question from Amit Kumar, Macquarie Capital.
Amit Kumar - Macquarie Capital: Quickly, just going back to the capital discussion. . Maybe I am saying too much into this but you did not talk about revisiting the dividend down the road. . Has anything changed on that process or are you still open to revisiting the dividend as you know, maybe one or two quarters down the road?
Craig Lindner: I wouldn’t take anything by, you know, as (inaudible) our approach is we see value and building, you know building a predictable stream of increasing dividends over time. We think investors value that. That continues to be important in our consideration of using excess capital and as you know last year, our investors got a little kiss right at the end of the year, in our management cell. I think dividends quarterly clearly continue to be part of our capital strategy.
Amit Kumar - Macquarie Capital: And then as you know, AFG has increased its EBITDA each year over the past seven years to elaborate on Carl’s point.
Craig Lindner: Yeah, last five years we’ve had a twelve-and-half percent compounded annual increase in our dividends.
Amit Kumar - Macquarie Capital: Got it, and then just going back, I guess to Republic Indemnity, in terms of when you sort of look at the lost cost trends and the pricing, has anything changed or are we still on the right track there? I mean we’re getting more pricing, lost cost seem to have stabilized, has anything changed on that front from the last quarter?
Craig Lindner: No. I think we continue to be more optimistic. We have a market that’s firming. We’re getting double-digit renewal pricing increase in the fourth quarter and the first quarter. Our expectations are that we’ll get double-digit price increase for the year. Last year probably our latest estimate of the (inaudible) year for California Comps, for us is, last year’s probably 108. That’s a little better than the latest industry estimate of 127. The Republic’s always been much better. So with a double-digit price increase, that gives us some optimism that we’re moving back toward a business that can have a double-digit return. At about four percent interest rate, a 100-combine ratio, for instance, is equivalent to about ten percent return-on-equity. So we feel good about our reserves, adequacy, lost cost trends are low single-digit. So for all those reasons, the way some increase in business opportunities from the market, we are looking at long on double-digit growth for California Comps this year.
Amit Kumar - Macquarie Capital: Got it, and then I guess on the flip side, are there any areas where you would have expected rates to improve more relatively and which are still seeing competitive pressure?
Craig Lindner: There are too many. I am liking what I am saying in the DNO space today. We’re getting double-digit increases there. That’s been the laggard last year a little bit. It wasn’t until latter part of the year that I think the market was seeing some significant increases in that. So I like what I am saying there. So yeah, I don’t think there’s any errors for us here. If there was one in our Equine business that seems to be Equine Mortality, seems to be a little more competitive than what it should be in that. I would like to see us achieve a bit more weight there.
Amit Kumar - Macquarie Capital: Got it, and then I guess final question would be, do you have the unrealized gains from your real estate holdings handy? Is that number available?
Craig Lindner: I do not have that number.
Amit Kumar - Macquarie Capital: Oh, I can follow up offline. That’s okay. That’s all I have. Thanks and congrats in the quarter.
Operator: There are no further questions at this time. Jen, are there any closing remarks?
Keith Jensen: Thank you Keenan. I thank you all for joining us this morning. We look forward to speaking to you again when we report our second quarter results.
Operator: This concludes today's American Financial Group 2013 first-quarter results conference call. You may now disconnect.